Operator: Good morning, ladies and gentlemen and welcome to the Thermo Fisher Scientific 2024 Second Quarter Conference Call. [Operator Instructions] I would like to introduce our moderator for the call, Mr. Rafael Tejada, Vice President Investor Relations. Mr. Tejada, you may begin the call.
Rafael Tejada: Good morning, and thank you for joining us. On the call with me today is Marc Casper, our Chairman, President, and Chief Executive Officer and Stephen Williamson, Senior Vice President and Chief Financial Officer. Please note this call is being webcast live and will be archived on the Investor section of our website thermofisher.com, under the heading News, Events, and Presentations until August 7, 2024. A copy of the press release of our second quarter 2024 earnings is available in the investor section of our website under the heading financials. So, before we begin, let me briefly cover our Safe Harbor Statement. Various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities and Livigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company's most recent annual report on Form 10-K and subsequent quarterly report on Form 10-Q, which are on file with the SEC and available in the Investors section of our website under the heading Financials, SEC Filings. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our estimates change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. Also, during this call, we will be referring to certain financial measures not prepared in accordance with generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the press release of our second quarter 2024 earnings and also in the investor section of our website under the heading financials. So with that I'll now turn the call over to Marc.
Marc Casper: Raf, thank you. Good morning, everyone and thanks for joining us today for our second quarter call. As you saw in our press release, we had great results for the quarter. We're making excellent progress to deliver differentiated results for the year. I'm proud of our team as they executed at a very high level to enable our customers to make the world healthier, cleaner, and safer. This continued success is a result of our proven growth strategy and our PPI business system. So first, let me recap the financials. Our revenue in the quarter was $10.54 billion. Our adjusted operating income was $2.35 billion. Adjusted operating margin increased in Q2 to 22.3%. And we delivered another quarter of strong adjusted EPS performance, achieving a 4% increase year-over-year to $5.37 per share. Our performance in the second quarter is allowing us to raise our guidance once again and continue our track record of delivering differentiated results. Turning to our performance by end market, in the second quarter, underlying mark conditions played out as we'd expected. Our team's excellent execution drove share gain in the quarter, and we delivered a sequential improvement in growth in all four of our end markets. Let me provide you with some additional context. Starting with pharma and biotech, we declined in the low-single-digits for the quarter. The vaccine and therapy revenue runoff resulted in a 4 point headwind for this customer segment. Performance in the second quarter was led by our biosciences and clinical research businesses. In academic and government and in industrial and applied, we grew in the low-single-digits during the quarter. In both these end markets, we delivered strong growth in our electron microscopy business. Finally, in diagnostics and healthcare, we declined in the low-single-digits. As a reminder, the reported growth in this end market is impacted by the runoff of COVID-19 testing-related revenue. During the quarter, the team delivered good core revenue growth highlighted by our transplant diagnostic and immunodiagnostics businesses, as well as our healthcare market channel. As I reflect on our performance during the quarter and on a year-to-day basis, I feel very good about the progress we've made at the halfway point of the year. Our end markets are playing out as we expected, and our team's execution has been excellent. I'll now turn to an update on our growth strategy. As a reminder, our strategy consists of three pillars. High impact innovation; our trusted partner status with customers; and our unparalleled commercial engine. Starting with the first pillar, it was a fantastic quarter of innovation as we launched a number of high impact new products across our businesses. I'll begin with the new technologies we launched at the American Society for Mass Spectrometry Conference, further strengthening our industry leading position in analytical instruments. At the conference, we introduced the Thermo Scientific Stellar Mass Spectrometer, which extends our leadership in proteomics. The Thermo Scientific Stellar is used to validate biomarker candidates. It offers unprecedented analytical capabilities for targeted quantitation, enabling the insights needed by researchers to advance their work. It's a perfect complement to our groundbreaking Thermo Scientific Orbitrap Astral, used for protein discovery that we launched last year. It was incredibly exciting to hear the customer testimonials sharing the power of the Orbitrap Astral. To-date, we've had more than 40 publications that incorporated the impact of this breakthrough, and we're really just getting started. Also at ASMS, we launched three new build-for-purpose editions of the Thermo Scientific Orbitrap Ascend Tribrid Mass Spectrometer tailored to specific applications for MultiOmics, Structural Biology and BioPharma. These instruments continue to elevate our industry-leading Thermo Scientific Orbitrap portfolio by offering enhanced speed and sensitivity to detect and characterize the most difficult protein samples, including complex biologics. This quarter we also launched products to help our customers meet their own sustainability goals. In our bioproduction business, we introduced a first of its kind bio-based film for our single-use technologies. These new bioprocess containers use plant-based material rather than fossil fuel materials to provide lower carbon solutions for the manufacturer of biologics. And in our laboratory products business, we launched a new line of Energy Star certified Thermo Scientific TSX universal series ULT freezers that deliver industry-leading performance and energy efficiency to help labs meet their sustainability goals. Turning to the highlights of our second and third pillars of our growth strategy, during the quarter we continue to strengthen our industry-leading commercial engine and the trusted partner status we've learned with our customers. Our customers rely on us to help accelerate their innovation, increase their productivity, and advance their important work. I spent a lot of time connecting with customers to understand their near and long-term priorities, so that we can enable their success. As a result of these unique relationships, we continue to advance our capabilities to be an even stronger partner for our customers. Let me give you a couple of examples from the second quarter. We expanded our leading clinical trial supply services with a new ultra-cold facility in Bleiswijk in the Netherlands to offer pharma and biotech customers tailored end-to-end support throughout the clinical supply chain for high-value therapies, including cell and gene therapies, biologics, antibodies, and vaccines. We also opened a state-of-the-art innovation lab at our site in Center Valley, Pennsylvania to showcase our innovative solutions for global clinical trial supply, including new packaging solutions, real-time tracking and tracing, and enhanced clinical trial setup and planning. In addition, we advance partnerships and collaborations with our customers during the quarter. Let me give you a couple of examples in the Asia Pacific region. To support Indonesia's growing investments in healthcare, scientific research, and renewable energy, we further expanded our presence and capabilities in the country. We are collaborating with the National Battery Research Institute to advance battery technology and energy storage, as well as with the Mandaya Hospital Group to help advance stem cell research and cell therapy development. In Singapore, we announced a collaboration with the National University Hospital in Mirxes, a local RNA technology company to develop and clinically validate advanced next generation sequencing genomic testing solutions specifically made to address the needs of the Southeast Asian population. So another strong quarter of executing our growth strategy. Let me now turn to our PPI business system, which enabled excellent execution during the quarter. PPI engages and empowers all of our colleagues to find a better way every day. During the quarter, I had the opportunity to see the PPI efforts to further improve manufacturing of our lab equipment products, and I came away incredibly impressed with the progress to drive operational efficiency in this business. It's also great to see how PPI has been adopted in our clinical research business where it is driving meaningful improvements in our efficiency and customer allegiance. Ultimately, you see the positive impact of our PPI business system and our Q2 results reflected in strong profitability and cashflow that we delivered in the quarter. We also advanced our corporate social responsibility priorities during the quarter. As a mission driven company, we helped to make the world a better place by enabling the important work of our customers. We also create a positive impact by supporting our communities and being a good steward of our planet. We continue to make progress on our environmental sustainability roadmap in Q2. As part of our commitment to safeguarding the world's natural resources, we have set targets for 2025, which include zero waste certification for 30 manufacturing and warehouse sites. During the quarter, three more of our sites achieve zero waste certification, and we're on track to achieve our goals. You can learn much more about our progress in our 2023 Corporate Social Responsibility Report, which was published during the quarter. The report provides a transparent account of our journey as we fulfill our commitments to society and all of our stakeholders. Let me now give you an update on capital deployment. We continue to successfully execute our disciplined capital deployment strategy, which is a combination of strategic M&A and returning capital to our shareholders. Shortly after the quarter ended, we completed our acquisition of Olink, and it was great to welcome our new colleagues to the company earlier this month. As you know, Olink is a leading provider of next generation proteomic solutions. The addition of Olink’s proven and transformative technology is highly complementary to our industry leading mass spectrometers. Olink further advances our leadership as it is a great addition to our differentiated protein research ecosystem. Our world-class commercial engine will enable us to bring this technology to scientists around the world. By increasing the use of next-gen proteomics and providing industry-leading data quality at scale, excuse me, data quality at scale, we're in a great position to further enhance the understanding of human biology and meaningfully accelerate scientific breakthroughs. So as I reflect on the quarter, I'm proud of what our team accomplished and grateful to their contributions for our success. Let me now turn to our guidance. Given our strong performance in the second quarter, we're raising our 2024 guidance. We now expect revenue to be in the range of $42.4 billion to $43.3 billion and adjusted EPS to be in the range of $21.29 to $22.07 per share. Stephen will take you through the details in his remarks. So to summarize our key takeaways from Q2, we delivered another quarter of strong results driven by our proven growth strategy and PPI business system. We continue to enable our customer success and this reinforces our trusted partner status and industry leadership. Our strong results in Q2 allowed us to raise our guidance again for the year. We're well positioned to deliver differentiated performance in 2024 as we continue to create value for all of our stakeholders and build an even brighter future for our company. With that, I'll now hand the call over to our CFO, Stephen Williamson. Stephen?
Stephen Williamson: Thanks, Mark and good morning, everyone. I'll take you through an overview of our second quarter results for the total company, then provide color on our four business segments. And I'll conclude by providing our updated 2024 guidance. Before I get into the details of our financial performance, let me provide you with a high level view on how the second quarter played out versus our expectations at the time of our last earnings call. As Mark mentioned in the quarter, market conditions were as we'd expected, yet another quarter of excellent execution, and this enabled us to deliver Q2 financials ahead of what we'd assumed in our prior guidance. Starting with the top line, core organic revenue growth was a little over 0.5 percentage point ahead of what we'd assumed in the prior guide for Q2. That translates to approximately $60 million of revenue, which is partially offset by slightly higher FX revenue headwind. Turning to the bottom line, adjusted EPS was $0.25 ahead of what we'd assumed in the prior guide for Q2. $0.08 was from strong operational performance; $0.06 cents was from favorable effects and timing of discrete tax planning benefits within the year; and $0.11 was from the beat -- was from lower net interest expense. In my prior guidance I took a prudent approach to the Olink transaction from a financing cost standpoint. We're also executing well on free cash flow generation. The year-to-date free cash flow is 68% higher than the same period last year. So we're continuing to deliver strong performance and we're well positioned at the halfway point of the year. Let me now provide you with some additional details on Q2. Beginning with the earnings per share. In the quarter adjusted EPS grew by 4% to $5.37. GAAP EPS in the quarter was $4.04, up 15% from Q2 last year. On the top line, in Q2 reported revenue was 1% lower year-over-year. The components of our Q2 report of revenue change included 1% lower organic revenue, a 1% headwind from foreign exchange, and a slight contribution from acquisitions. We delivered another strong sequential improvement in core organic revenue growth this quarter. And in Q2, core organic revenue growth rounded up to flat on a year-over-year basis. In the quarter, pandemic-related revenue was approximately $115 million, this was mainly from vaccines and therapies. This represents a 3% headwind to organic revenue growth. Turning to our organic revenue performance by geography, in Q2 North America declined mid-single-digits, Europe grew low-single-digits, and Asia Pacific grew mid-single-digits, which includes China, which also grew mid-single-digits. With respect to our operational performance, we delivered $2.3 billion of adjusted operating income in the quarter, and adjusted operating margin was 22.3%, 10 basis points higher than Q2 last year and 30 basis points higher than Q1 2024. Total company adjusted gross margin in the quarter came in at 42.1%, 110 basis points higher than Q2 last year. In the quarter, we continue to deliver very strong productivity, reflecting our continued focus on cost management, as well as the carryover benefit from the cost actions put in place last year. This enabled us to more than offset the impact of low volumes, while appropriately funding investments to further advance our industry leadership. Moving on to the details of P&L, adjusted SG&A in the quarter was 16.6% of revenue. Total R&D expense was $340 million in Q2, reflecting our ongoing investments in high impact innovation. R&D as a percent of our manufacturing revenue was 7.1% in the quarter. Looking at results below the line, our Q2 net interest expense was $59 million, which is $89 million lower than Q2 2023, due to higher cash and investment balances. Our adjusted tax rate in the quarter was 10%. And average diluted shares were 383 million in Q2, approximately 5 million lower year-over-year, driven by share repurchases net of option dilution. Turning to free cash flow and the balance sheet, year-to-date cash flow from operations was $3.2 billion. Year-to-date free cash flow was $2.6 billion after investing $630 million of net capital expenditures. We enter the quarter with $8.8 billion in cash and short-term investments and $35.4 billion of total debt. Our leverage ratio at the end of the quarter was 3.3 times gross debt to adjusted EBITDA and 2.5 times on a net debt basis. Including my comments on our total company performance suggested ROIC was 11.8%, reflecting the strong returns on investment that we're generating across the company. Now provide some color on our performance of our four business segments, starting with life sciences solutions. Q2 reported revenue in the segment declined 4% and organic revenue was 3% lower than the prior year quarter. Growth in this segment was led by a biosciences business that was more than offset by the impact of the pandemic. Q2 adjusted operating income for life science solutions increased 6% and adjusted operating margin was 36.7%, up 350 basis points versus the prior year quarter. During Q2, we delivered exceptionally strong productivity, which was partially upset by unfavorable volume pull through. The team continued to do an excellent job to appropriately manage the cost base and deal with the unwind of the pandemic. In the analytical instrument segment, reported revenue grew 2% and organic growth was 3% higher than the prior year quarter. We continue to deliver a very strong growth in our electron microscopy business. In this segment, Q2 adjusted operating income increased 1% and adjusted operating margin was 24.6%, 10 basis points lower year-over-year. In the quarter, we delivered strong productivity, which is more than offset by unfavorable mix and strategic investments. Turning to specialty diagnostics, in Q2 both reported and organic revenue were 1% higher than the prior year quarter. In Q2, we continued to see strong underlying growth in the core, led by our transplant diagnostics and immunodiagnostic businesses, as well as in our healthcare market channel. Q2 adjusted operating income for specialty diagnostics increased 1% and adjusted operating margin was 26.7%, which was flat, compared to Q2 2023. During the quarter, we delivered good productivity, which was offset by strategic investment. And finally, in the Laboratory Products and Biopharma Services segment, both reported revenue and organic growth decreased 1% in Q2 versus the prior year quarter. This is driven by the runoff of vaccines and therapies revenue. Growth in this segment in Q2 was led by a clinical research business. Q2 adjusted operating income declined 10% and adjusted operating margin was 12.9%, which is 120 basis points lower than Q2 2023, flat sequentially to Q1 2024. In the quarter, we delivered strong productivity, which is more than offset by unfavorable volume mix and strategic investments. Turning now to guidance, as Mark outlined, given our strong performance in Q2, we're raising our 2024 full-year guidance. We now expect revenue to be in the range of $42.4 billion to $43.3 billion, and adjusted EPS to be in the range of $21.29 to $22.07. The improved revenue guidance does not change the core organic revenue growth rounding for the year, so we still continue to assume core organic revenue growth will be in the range of minus 1% to positive 1% for 2024. And we continue to assume that the market declines low-single-digits this year. Our proven growth strategy and PPI business system execution will enable us to continue to take share once again. Our 2024 updated guidance range assumes an adjusted operating income margin between 22.5% and 22.8%, slightly higher than the prior guide. Our PPI business system is continuing to enable excellent execution, manage costs appropriately and fund the right long-term investments to enable us to further advance our industry leadership. We now expect net interest costs to be in the range of $380 million to $400 million for the year. And the raise to our adjusted EPS guidance range reflects a $0.15 increase on the low end and a $0.05 increase on the high end, which results in an increase in the midpoint by $0.10. So another strong quarter of execution, enabling an increase in the guidance outlook for the year, we remain really well positioned to continue to deliver differentiated performance. I thought it would be helpful to remind you of some of the key underlying assumptions behind the guide that remain unchanged from the previous guidance. In 2024, we're assuming just under $100 million of testing revenue and $300 million to $400 million of vaccines and therapies related revenues. In total, this represents a year-over-year headwind of $1.3 billion to $1.4 billion, or 3% of revenue. We assume that FX would be roughly neutral year-over-year to both revenue and adjusted EPS, and we're assuming that the $0.03 FX adjusted EPS beat that we saw in Q2 is offset for the remainder of the year, leading to no change for the year as a whole for FX versus the prior guidance. We continue to expect adjusted income tax rate will be 10.5% in 2024, and for the year we're assuming between $1.3 billion and $1.5 billion in net capital expenditures and free cash flow in the range of $6.5 billion to $7 billion. In terms of capital deployment, we're assuming $3 billion of share buybacks, which were already completed in January. Expect to return approximately $600 million of capital to shareholders this year through dividends and we deployed $3.1 billion to acquire Olink shortly after the Q2 close. Full-year average diluted share count is assumed to be approximately 383 million shares. Finally, I wanted to touch on quarterly phasing to help you with your modeling. Relative to the midpoint of the guide, I recommend modeling Q3 organic revenue growth 1% higher than we delivered in Q2. Also good to model core organic revenue growth in Q3 1% higher than we delivered in Q2. And in terms of adjusted EPS in Q3, I recommend modeling it to be just over 24% of the full-year. So to conclude, we continue to deliver on our commitments. And at the halfway point, we're in a great position to deliver differentiated performance for all our stakeholders in 2024. With that I'll turn the call back over to Raf.
Rafael Tejada: Operator, we're ready for the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] Our first question is from Michael Ryskin with Bank of America. Michael, your line is now open. Please go ahead.
Michael Ryskin: Great. Thanks for taking the questions, guys. Congrats on the quarter. Marc, a high-level one for you to start off maybe, at our Vegas Health Care Conference in May, you made some initial comments about 2025 market expectations. And you said that you expect the tools market next year would be just below the 4 to 6 level it has historically been. Just given the way the year is playing out, how you're exiting 2024, entering 2025. It's been a couple months since then. You've got hopefully a clearer view of how 2024 is going to play out. So given where you sit now, do you have more confidence in that 2025 market assumption and maybe how Thermal can deliver differentiated performance above that?
Marc Casper: Mike, thanks for the question. It was a pleasure to be in with you earlier in the quarter. So let me start actually one level off. Just kind of frame a few of my general thoughts and I'll talk about 2025. So when I think about Q2, team executed really well, really good financial performance. It was ahead of our expectations. It allowed us to raise our guidance. The other aspect of the performance is the actual performance as opposed to relative to expectations. Clearly very differentiated and very strong. It was good to see that core has now elevated to it's now flat, which is great. 4% adjusted EPS growth and expansion of margins. So I feel very good about the performance and when I think about the market they were in line with our expectations, so it's good to see the visibility that we've enjoyed for decades, as returned in terms of how the market's playing out. And when I think about our own performance within the markets, it was good to see that all four of our markets, we had sequential improvement in our growth across all four. So really very positive development. PPI business system is really delivering outstanding impact and ultimately feel good about the performance. Capital deployment has been active and good. We've deployed over $6 billion of capital through the first-half of the year, half of it on return of capital and half of it on a very exciting acquisition of Olink, and we're very well positioned at this point to deliver strong results. When I think about 2025, I think the way I would just think about it is we're going give you that in January of 2025. When we have the benefit of the year behind us and we're focused on delivering a great year, we'll be able to give you a view of not only our performance, but how we saw the underlying market conditions. The year is progressing as we expected, so we expect that the market will continue to improve modestly in the back half of the year, each quarter being a little better than the quarter before and that our performance will also continue to step up and that will give us momentum going at ‘25 in the details. We'll give you back -- we'll give you in a few months’ time.
Michael Ryskin: Okay, fair enough. And then for my follow-up, I want to focus on China, I think if I heard correctly, you called out that it grew mid-single-digits in the quarter. I want to make sure I heard that right. But if so, that's a bit surprising. Anything you could say in terms of what you're seeing there? Is that also ahead of your expectations and is this just a temporary bump in the quarter or something one-timey or are you seeing some real traction here and you think that can get you into your end? Thanks.
Marc Casper: Yes, your hearing is excellent. So yes, we delivered mid-single-digit growth in the quarter. Team did a nice job, really good execution. Comparison was relatively easy in the quarter, so and I would still characterize the conditions as muted in terms of the environment, but a nice job by the team to deliver a very solid Q2 result. Thanks, Mike.
Operator: Thank you very much. Our next question is from Jack Meehan. Jack, your line is now open. Please go ahead.
Jack Meehan: Thanks. Thanks. Good morning, guys. Wanted to start by asking about LSS, so this had some nice sequential improvement in the growth rate. I heard biosciences led to growth. Can you talk about the relative improvement you're seeing there, or also genetic sciences and bioprocessing? And any updates on where you think your customers stand in terms of e-stock?
Marc Casper: Yes, Jack, thanks for the question. When I think about probably the most important points on our life science solutions segment, nice to see the growth in our biosciences business, that's every lab every day, really nice adoption in the pharma and biotech segment there. So that was a nice positive development in terms of there. And maybe I'll dive a little bit into bioproduction, which is always an area of great interest to our investors. The business is actually progressing really exactly as we expected, really nice quarter of performance. So when I think about the most salient facts around bioproduction, sequentially really nice revenue growth in Q2. When I look at orders, we had really nice sequential growth in orders. We had year-over-year growth in orders, and we had a favorable book-to-bill. So progressing well, and when I look at others that have reported I feel very good about our performance. So when I think about the life science solution segment those are two of the drivers and then you've seen some announcements in the previous few months about important companion diagnostics our clinical sequence business -- clinical sequencing business is doing quite well. So Jack thanks for the question on LSS.
Jack Meehan: Excellent okay and then one to rotate to AI, so this also came in a bit better than I was expecting. Can you talk about how the book-to-bill was in the segment in the quarter? And just update some customer spending patterns? Thanks.
Marc Casper: Yes. So when I think about Analytical Instruments, it was nice to see the 3% growth in the quarter and very positive. Yes, I would say the market conditions also are playing out pretty much as we expected and not at the normal levels yet, and we certainly see the impact of the muted conditions in China. We have really excellent momentum in those differentiated products that we have where innovation matters, on orders as well as on revenue. When you look at electron microscopy, you look at the Orbitrap Astral, just the cutting-edge work, you've seen incredibly strong momentum there. So that's where the highlights are, and I would say in the more routine-ish aspects of the portfolio, you see more muted conditions. Thanks, Jack.
Operator: Our next question is from Rachel Vatnsdal with JPMorgan. Rachel, your line is now open. Please go ahead.
Rachel Vatnsdal: Perfect. Hi, good morning, you guys. Thanks so much for taking the questions. Wanted to follow-up on some of the China comments. You mentioned that China grew mid-single-digits, partly due to the comp there. Can you just walk us through what are you seeing from China stimulus? We heard that this first tranche of funding was released earlier this quarter. So have you seen any orders related to China stimulus? Do you think that you'll benefit from this first tranche? And then also, have you seen any customers holding back spending related to the stimulus program? Kind of getting at this like air pocket that we've heard some of your peers talk about. Any comments there would be helpful.
Marc Casper: Rachel, thanks for the question. It's an important question. So let me start at the sort of high level and then get down to the stimulus and then try to as much transparency as I possibly can. First of all, I think the world was surprised at how weak China was economically as this year unfolded. The stimulus programs announced early in the year was a sign that the government wanted to get the economy going, which is a good thing, right, in terms of sort of what is the macro backdrop in terms of a tough economic environment. When I think about stimulus in our industry and what we're seeing, tremendous amount of activity with our customers actually to help them with figuring out what to apply for. And so we know there's quite a bit of interest in our products from a stimulus perspective, and we're helping our customers in that process. When I think about how do I expect it to play out, my expectation is that it's largely going to show up in revenue in 2025 and likely to have some small effect in the fourth quarter of 2024 as well. I did ask the question about air pocket to the team, and I'm actually heading off to China in a couple of weeks' time, so I'm looking forward to that. Our team didn't highlight any air pocket or anything like that. So it's kind of muted conditions, and customers are working on looking at the investments associated with the additional government funding. So we didn't see any pauses in the activity, and I'm proud of the team's mid-single-digit growth in the quarter.
Rachel Vatnsdal: Great. And then just as my follow-up here. On the CRO, you called out clinical research was an outperformer this quarter that drove some of the growth. So we've seen a few volatile prints from your peers. So can you walk us through what have you seen from an RFP standpoint and book-to-bill in the quarter for PPD? And then have we turned the quarter on emerging biotech funding and kind of how is that flowing through the model as well?
Marc Casper: Yes. So Rachel, team has done a really nice job executing very well in our clinical research business. And when I think about our performance, we delivered positive organic revenue growth despite a really substantial headwind from the runoff of vaccines and therapies in that activity. So team is doing a nice job. Commercial execution was very strong in the quarter, right? And customers value our capabilities. And when I sort of went under the details of the commercial performance and looked at some of the underlying trends, it was very clear that in Q2, we really did see some of the biotech funding activity that we talked about is a green shoot in Q1 that would give us confidence that the year in aggregate across our business would be improving from a market perspective. We saw that in Q2 actually translate into an acceleration of authorizations in our biotech customer base. And that really does bode well for that. And as you know well this business, that really translates more into revenue in ‘25 and ‘26 in terms of how long it takes to get the clinical trials up and going, but the authorization momentum very encouraging in the quarter. Thank you, Rachel.
Operator: The next question is from Doug Schenkel with Wolfe Research. Doug, your line is now open. Please go ahead.
Doug Schenkel: Okay, thank you and good morning everybody. Marc, when we look at two-year stacks and calculate CAGRs going back pre-pandemic, it seems like most business lines within Thermo continue to trend positively. I think your commentary is consistent with that on the call this morning. With that in mind, I think one of the key questions is, what's going to be the pace of improvement from here? So with that in mind, two questions. First, where is the recovery occurring more quickly than you may have expected? Where are things lagging? And I'm kind of thinking about this both in terms of how you guided for the year, but also just based on what you've seen through previous cycles. So that's one question. And then the second would be just keeping in mind your assumption that this market grows 4% to 6% on a normalized basis, is it fair to assume that recognizing you're making progress here, but just seeing what the pacing is, is it fair to assume that the move back into that range is going to be gradual versus a snapback? And essentially that this move into the 4% to 6% range, it's going to take several quarters?
Marc Casper: Yes. So Doug, there's a lot in that question. It's a good question. So let me just start with I think the things that are around the market and our performance which is important to our investors, right? Pre-2023, holding aside some of the amazing market and our performance in the pandemic period, a very predictable, visible market without a lot of volatility and really a great underlying set of growth, right? So there's never debates about market growth sort of pre-pandemic or even in the early parts of the pandemic. So -- and then obviously, a difficult year for the industry in 2023, comparisons and a lot of other factors related to the pandemic directly and indirectly. So when I think about what we're seeing in the industry now for three quarters in a row, the visibility is pretty good. Like we have a good feel for what's going on. It's playing out as we expected. There's always things a little better, a little worse, also irrelevant on the margin. They're all in the factor of the aggregate, so I feel very good about the progression. What's embedded in our guidance in the market, right, is that for the full-year is that it continues to step up a little bit more in Q3 and further in Q4. And when I think about what we've assumed in the market growth and back in the January time frame when we gave our guidance is we said the market was going to be down low-single-digits. But when you looked at sort of the phasing implied, it probably is flattish, maybe up slightly in the fourth quarter in terms of the market progression. That's -- we don't have a perfect crystal ball, but that's sort of what's implied in there. And so it's progressing well. When I think to how it's going to progress exactly each quarter thereafter, when we get to January, I will have a much better feel for it. But I think what's really relevant is how do I feel about the 4% to 6%, right? And I'm looking forward to Investor Day. I feel great about the long-term 4% to 6%. That doesn't mean I can predict it to a quarter or the specific year, but when talking a three to five-year time frame, and do I believe that the market growth is going to be 4% to 6%, 100% confidence in that. But underlying scientific drivers are phenomenal in terms of our industry, what's going on in pipelines, our customer base, fantastic, right? So I don't lose any sleep over that. And I always question it because it's important. It's not like just take it from a dramatic standpoint, but from a fact and underlying drivers, I feel great about it. And then the other thing that's important to me, important to our 125,000 colleagues and actually quite important to our investors is our customers meaningfully choosing us more often than their other choices. And the ability to grow 2% faster than the market, I feel great about. And we have an incredible track record this quarter, at least looking at what we've seen so far, once again delivered on that. So hopefully, that puts it in the context of my enthusiasm. And we'll provide you transparency as the year wraps up to what do we see as a reasonable assumption for the next year. And I think our forecast accuracy is pretty good.
Douglas Schenkel: Okay. And Marc, if I can ask one more high-level follow-up. Over the years and in working with you and following Thermo, one of the neat things has been in these tougher periods in the market, Thermo and you specifically have -- you've played offense when others have played defense. Recognizing every cycle is difficult and different, I would say the last 1.5 years has been maybe tougher than normal even for Thermo. As things start to improve a little bit, but again, it's gradual, do you feel you're in a position now to maybe get even more aggressive like you have in previous cycles when it comes to capital deployment, evolving the business and other initiatives? Are you feeling more comfortable, more confident in making those moves that we've seen in prior cycles? Thank you.
Marc Casper: Doug, thanks for the question. When I think about the company's strategy and the trusted partner status that we've earned with our customers over many, many years, we're able to take a long-term perspective, while holding ourselves accountable for delivering excellent long-term results. And I love periods where not everybody is performing at the same level. It creates opportunities. I loved during the fact that the pandemic, we were able to accelerate our investments in innovation. Well, I mean I talked probably for five of my 15 minutes today on innovation. And I had to truncate it because the list was so long. It is super cool. And our job is to differentiate our competitive position to deliver superior organic growth to the others and translate into great results. And I'm very excited about our ability to continue to do that and further differentiate our industry leadership going forward. So thanks for the question, Doug.
Operator: Thank you very much. Our next question is from Tycho Peterson. Tyco, your line is now open. Please go ahead.
Tycho Peterson: Thanks. Hey, Marc, a question on operating margins or maybe for Stephen. Lab products and services, obviously, you felt the headwinds from the vaccine and therapy roll off, but it was effectively at a two-year low. So just curious about how you think about margin for lab products going forward? And then as we think about 2025, if TPD and Patheon can grow above the corporate average, do you still have the ability to drive 40 to 50 bps of margin expansion or potentially could be higher or lower? Thanks.
Stephen Williamson: Tycho, thanks for the question, and good to hear from you again. So in terms of the margin profile in the quarter, we're going through largely the impact of the transition of the vaccine-related capacity in sterile fill finish and translating into other modalities. So that's probably the biggest factor that you see there. And I think about the margin profile for our businesses, I feel good about the ability to drive strong margin expansion as we -- the top line growth comes back in certain parts of the business where we've appropriately adjusted the cost base down and where volumes have come down. And as those volumes come back, we're going to get some good pull-through that comes from that. So look forward to giving the details on '25 when we get to the January call. But yes, in terms of the margin profile and kind of the mix of business, I feel good about the ability to expand our margins.
Tycho Peterson: Okay. And then one follow-up on CDMO capacity. You doubled fill finish over the last couple of years. Just curious, Marc, how you think about additional capacity expansion, how you think about capacity utilization in the industry and how actively you may look at some of the capacity that could get freed up from some of the recent M&A or potentially around biosecure in the U.S?
Marc Casper: Yes. So Tycho, when I think about our pharma services business and our capacity, where we play, I feel very good about our position. We've had very strong demand for our sterile fill finish abilities, which is our largest activity, and we're doing well there. We've been expanding the number of lines we have at our sites, and demand has been strong for that. So I feel good about that outlook. In the clinical trials, supplies, which is the other really large portion of our business and where we really have an unparalleled position, I highlighted a couple of examples of capabilities we're expanding. Effectively, we make sure that our capacity lines up with our forecasted demand. So it's not really an overcapacity viewpoint. And then on the other parts of the business, I feel okay about our position and nothing of note there. So that's pretty positive. And what we're going through right now, as a reminder, is we're transitioning a lot of the COVID-related activities to the normal therapies. And the team is doing a good job. It certainly impacts our growth in terms of headwind in 2024, but it becomes better in '25 and '26 as the new therapies and the tech transfers are complete and new lines come on place. So pretty good times ahead.
Tycho Peterson: Thanks, I appreciate the color.
Marc Casper: Thanks, Tyco.
Operator: Thank you. Our next question is from Puneet Souda with Leerink Partners. Puneet, your line is now open. Please go ahead.
Puneet Souda: Yes. Hi, thanks Marc and Stephen. Thanks for taking the question. So Marc, a higher-level question for you, maybe with your -- when you have conversations, the C-suite conversation with therapeutics teams out there, what are you seeing and hearing from your larger biopharma customers, and maybe to some extent, these mid-cap ones as well versus the smaller and earlier-stage customers? How much of a divergence are you seeing within these groups? And when can that divergence narrow?
Marc Casper: Yes. So Puneet, thanks for the question. So when I think about the things that jump out to me the patterns, if you will, and I see lots of customers, and I'm looking forward to being back on the road tomorrow, seeing our customers is a great thing. In our larger customers, which -- and these will be the companies with many products that are both commercial and in their pipeline, you're seeing a few things. One, they're focused on resiliency of their supply chain. So where maybe historically pre-pandemic, they would have had single site in-house manufacturing, you're seeing much more of the second site, leveraging our capabilities. And that's great in terms of just making sure that they can meet their customer demand, if you will, for medicines. You're also seeing the desire for how do we help them be more innovative and productive. And you basically fund all of the exciting things in their pipeline by just helping them really prioritize the most important work and do that in the most effective way. So it's really about helping them do more to maximize the impact of what's in their pipeline. When I think about the smaller customers, because we had gone through a period in 2023 where funding was challenged, right, a lot of the tone was around how do they get through the period. When I think about the first six months of dialogue, much higher confidence, right? Funding is happening, but also the confidence that funding will be available really at a very different spot. And you're seeing that really translate into the earliest indicators of that, which is authorizations of new clinical trials and new activity. But I would expect that, that would sort of flow through the rest of the types of work we do as the year continues to unfold and as we get into '25. So I think that's a very positive development.
Puneet Souda: Okay. Great. And just a follow-up for Stephen. On the EPS beat, it was about $0.25 at the midpoint and -- but you raised the guide only by $0.10. So just wondering how much of that is a reflection of the end market versus what's within your control in terms of cost management? Or is there anything specific that you would point out to?
Stephen Williamson: Yes. So Puneet, so $0.06 of the beating in Q2 is really timing-related. When I think about the FX rates and kind of the outlook for the rest of the year, $0.03 of that $0.06 could be offset in the second-half. And then from a tax standpoint, we're not assuming the change in the overall rate for the year. That's timing with that. So that $0.06 is good beat in Q2, but it's net neutral for the year as a whole. And then with the rest, we've raised the low end $0.15, and we raised at the high end $0.05. And I think that's a strong raise at this point and think it's appropriate and enables us to be better positioned for the second half of the year. And I wouldn't really read anything else into that. It's just -- I think that's just appropriate at this point.
Puneet Souda: Got it. Okay, thank you.
Rafael Tejada: Operator we have time for one more question.
Operator: Yes, Our next question is from Dan Arias with Stifel. Dan, your line is now open. Please go ahead.
Dan Arias: Good morning, guys. Marc, where do you think the academic markets are headed here? Some mixed data points there, and AH budget isn't particularly robust this year. So curious what expectations we should have for the second half and then into the next cycle.
Marc Casper: Yes. I was encouraged by what I saw in academic and government in Q2. We had low single-digit growth, a relatively challenging comparison. So the team did a good job. What I'm seeing is on the high-end differentiated products, customers are getting money. I mean if I think through, consumers get money for the really great innovation. And given our track record on innovation, we're seeing strong demand for the Orbitrap Astral. And I know that there's a lot of excitement around the Thermo Scientific Stellar mass spectrometer and the eclipse series. These are really -- or series. These are really, really positive developments. And so I think it's good. I always think long-term academic and government globally, it was kind of a low-single-digit growth market, sometimes a little better than that. And for -- our performance is playing out in line with that right now.
Dan Arias: Okay. And then if I -- just as a follow-up on your comments on China stimulus and the ability to see money gets spent there. Do you see that as primarily just a function of time, customers need time to have it flow and get to them? Or are there sort of discrete triggers and specific things that need to happen in order to have demand to actually make its way to you? Thanks.
Marc Casper: I mean the process is they have to apply, and there's a central government funding and matched by their other funding sources, usually provincial or it could be local depending on the institution. So they're going through that process. As it gets approved, they then have the ability to go out and place the order, so that's the view. I think because these institutions are funded by the government in all times, whether it's stimulus or not, I think they have a mechanism to understand what's likely to happen. So this is not giant mystery to them. I think they're working through it and is kind of normal from that perspective. And what we're doing is reminding them of the importance of the important instrumentation that we've launched and the relevance of it. So that they prioritize their funding request to support our instrumentation. Dan, thanks for the question, and I'll turn to just wrapping up. So thanks, everyone, for joining us on the call today. Pleased to deliver another strong quarter, well positioned to deliver differentiated performance as we continue to create value for all of our stakeholders, and we'll build an even brighter future for our company. We're looking forward to talking about that bright future at our upcoming Investor Day on September 19 in New York and updating you on our third quarter performance in October. As always, thank you for your support of Thermo Fisher Scientific.
Operator: Thank you very much. This concludes today's call. You may now disconnect your lines.